Operator: Ladies and gentlemen, welcome to Avery Dennison's Earnings Conference call for the fourth quarter, ended on December 31, 2025. During the presentation, all participants will be in a listen-only mode. Afterward, we will conduct a Q&A session. At that time, if you would like to ask a question, please press star one on your telephone keypad to raise your hand and enter the queue. As a reminder, this webcast is being recorded and will be available for replay on the Avery Dennison Relations website. I'd now like to turn the call over to William Gilchrist, Avery Dennison's Vice President of Investor Relations. Please go ahead, sir.
William Gilchrist: Thank you, Miriam, and welcome to Avery Dennison's fourth quarter and full year 2025 Earnings Conference Call. Please note that throughout today's discussion, we will be making references to non-GAAP financial measures. The non-GAAP measures that we use are defined, qualified, and reconciled from GAAP on schedules A4 to A8 of the financial statements accompanying today's earnings release. We remind you that we will make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the safe harbor statement included in today's earnings release. On the call today are Dion Stander, President and Chief Executive Officer, and Greg Lovins, Senior Vice President and Chief Financial Officer. I'll now turn the call over to Dion.
Dion Stander: Thanks, Gillian. Hello, everyone. We delivered solid full-year 2025 results with adjusted EPS of $9.53 and $700 million of adjusted free cash flow, a performance that once again underscores the durability of our franchise and our ability to activate multiple levers across a range of macro scenarios. While ongoing trade policy changes and softer consumer sentiment have been headwinds for our business, we successfully leveraged our productivity playbook to maintain an adjusted EBITDA margin of 16.4%. Our results demonstrate the resilience of our model as we remain focused on driving outsized growth in high-value categories, accelerating innovation to advance our differentiation, delivering productivity to protect base margins, and allocating capital effectively. Turning to the fourth quarter segment results. In Materials Group, reported sales increased 5%. While sales were down slightly on an organic basis, we saw low single-digit volume and mix growth that was more than offset by deflation-related price reductions. We are continuing to advance our strategic shift towards high-value categories, which now represents 38% of the segment's portfolio, a figure we expect to expand with a full year of Taylor adhesives. Within this segment, Intelligent Label delivered high single-digit growth, underscoring its role as an important growth engine, while Performance Materials grew mid-single digits, and Graphics and Reflectives grew low single digits. High-value categories helped balance our base categories, which were down low single digits in the quarter, lower than expected on softer customer volumes. From a margin perspective, adjusted EBITDA margin was 16.6%, down 40 basis points compared to the prior year. This reflects the impact of higher employee-related costs and some one-time benefits in the prior year fourth quarter, which our team worked diligently to partially offset through the benefits of our ongoing productivity actions. In Solutions Group, sales increased roughly 1.5%. This segment continues to lead our portfolio shift, with high-value categories now representing 60% of the Solutions Group portfolio. This proved critical this quarter as our high-value categories provided a necessary offset to our base solutions, which continue to be impacted by tariff-related uncertainty. Specifically, our base apparel business was below our expectations, down roughly 7% as customers balance inventory positions with the impact of post-tariff pricing decisions. Within our Solutions Group high-value platforms, Vesprom grew more than 10%, Embellix delivered high single-digit growth, and Intelligent Labels, tempered by the consumption trends in apparel and general retail, IL grew low single digits. From a profitability perspective, our focus on our productivity playbook and a favorable high-value mix allowed us to deliver an adjusted EBITDA margin of 17.8%, which is up nearly a point sequentially and comparable to prior year, successfully offsetting high employee-related costs and our continued investments in future growth. Turning to our enterprise-wide intelligent label platform. Sales grew mid-single digits compared to prior year, in line with our expectations for a sequential improvement in the rate of growth. This is driven by our key growth market segments and a partial recovery in apparel, which grew low single digits this quarter. While apparel and general retail sales have been impacted by tariff policy changes resulting in flat full-year sales, our food, logistics, and other categories delivered outsized performance with high teens growth in Q4 and approximately 10% growth for the full year 2025. Looking ahead to 2026, we continue to anticipate growth in this platform above the pace we achieved in 2025. We expect the pace of growth to be stronger in the second half than the first half as we lap a stronger first quarter 2025, which was largely unaffected by tariffs, and as new programs roll out. In apparel and general retail, we expect to return to growth as we continue to navigate the impacts of tariff policy uncertainty. In food, adoption is set to accelerate through our major fresh grocery rollout with Walmart, with revenues ramping in 2026. Finally, in logistics, we are focused on expanding pilots with new customers, following a year of outsized growth with our largest customer. Pivoting back to the enterprise level, while I'm pleased with our ability to protect margins and earnings in this environment, I am not satisfied with our organic revenue growth. While much of this is due to cyclical challenges, we are taking decisive action to inflect this growth trajectory. As you can see on slide 10, our high-value categories have secular tailwinds and remain a key enabler of enterprise growth and portfolio strength, growing at a mid-single-digit CAGR over the past six years and expanding to roughly 45% of our sales in 2025, a 12% increase since 2019. Expanding these solutions to new customers and end markets will add to our growth trajectory. Accelerating innovation outcomes in both high-value categories and the base categories is also key to changing our growth trajectory. This allows us to expand our opportunity with existing customers and to grow into new markets. Within our Solutions Group, we're advancing this through examples such as our intelligent labels fresh solutions for food traceability, the expansion of VESCOM's stalling software platform for centralized retail execution, and the growth of Embellix's custom studio fan zones to drive in-venue fan engagement. Similarly, in Materials Group, new innovations such as the expansion of our Clean Flake portfolio to more packaging substrates to advance circularity, and the introduction of smart materials to accelerate intelligent label adoption throughout the channel. Additionally, to further enhance our differentiation, we're also expanding our digital capabilities, use of automation, and leveraging AI to enable additional operational productivity and fixed cost innovation, strengthen our service and quality, shorten our innovation cycles, and provide more data-driven solutions that our customers require to address their fundamental challenges. Stepping back, you can see on slide nine, executing on all our key strategies with proven business resilience enables us to deliver GDP plus growth and top quartile returns across cycles. In addition to investing in innovation to drive growth in our high-value categories and base businesses and positioning ourselves to lead at the intersection of the physical and digital, we will continue to relentlessly focus on productivity to strengthen our market-leading positions in both our businesses. We will also continue to be disciplined in capital allocation to deliver returns and improve our portfolio. Finally, I'm pleased to report that we achieved our 2025 sustainability goals, which we laid out in 2015. These include reducing our energy intensity and enabling more sustainable products and solutions for our customers. Similarly, we're making good progress towards our 2030 sustainability objectives we set in 2020. Moving to the outlook for 2026. In line with our recent practice of providing a quarterly outlook, we will be continuing this approach for the foreseeable future. As such, for 2026, we expect adjusted earnings per share to grow approximately 6% at the midpoint on organic sales growth of zero to 2%. Given key economic indicators remain largely consistent with 2025 levels, we are not planning for any macroeconomic tailwinds in the near term. Our performance will instead be driven by the levers within our control, scaling our differentiated solutions in high-value categories, returning our base business into profitable growth, maintaining a relentless focus on productivity, and effectively deploying capital to drive earnings. In summary, we have exited the dynamic and challenging year, not just more resilient, but structurally stronger to deliver longer-term value creation. Advancing our strategic priorities underpins our confidence in returning to stronger growth and delivering top quartile returns. We are entering 2026 with the right playbook, the right team, and the path to return to growth in line with our long-term targets. I want to extend my sincere gratitude to our global team for their dedication to excellence and their unwavering focus on executing our strategies. And with that, over to you, Greg.
William Gilchrist: Thanks, Dion, and hello, everybody. The fourth quarter delivered solid adjusted earnings per share of $2.45, up 3% compared to the prior year. Earnings growth was driven by higher volume and productivity, partially offset by higher employee-related costs and targeted growth investments. From an overall sales perspective, our business continued to be impacted by a softer consumer environment and customer uncertainty due to the impact of trade policy changes. Fourth quarter reported sales were up 3.9%, with organic sales comparable to the prior year as positive volume was offset by deflation-related price reductions. As expected, we benefited from an estimated point and a half impact from our shift to the Gregorian calendar at the end of the year and one point of growth from the Taylor Adhesives acquisition. Adjusted EBITDA margin remained resilient at 16.2% in the quarter, down slightly compared to the prior year. And we again generated strong adjusted free cash flow of $300 million in the quarter, bringing our full-year 2025 free cash flow to $700 million with a free cash flow conversion rate of greater than 100%. Our balance sheet remains strong with our quarter-end net debt to adjusted EBITDA ratio at 2.4. We continue to execute our disciplined capital allocation strategy. For the full year, we returned approximately $860 million to shareholders, including $572 million in buybacks and $288 million in dividends, reinforcing our commitment to delivering shareholder value while maintaining a strong balance sheet. Now turning to segment results for the quarter. Materials Group organic sales were down approximately 1%. As low single-digit volume mix growth was more than offset by low single-digit deflation-related price reductions. Organically, high-value categories grew low single digits, while our base categories were down low single digits. Turning to regional label materials organic volume mix trends versus the prior year. In developed markets, volume mix was down low single digits in North America. As consumer product demand continued to impact volumes. Europe delivered mid-single-digit growth. In emerging markets, Asia Pacific and Latin America were both up low single digits. Our high-value categories in Materials Group delivered low single-digit organic growth. This growth was driven by intelligent labels, which delivered a high single-digit increase, performance materials, which includes our performance tapes and adhesive businesses, was up mid-single digits while graphics and reflectives were up low single digits and specialty and durable labels were comparable to the prior year. 16.6% in the quarter. While this was down slightly compared to the prior year, it reflects our ability to largely defend profitability through productivity efforts, which nearly offset the headwinds from higher employee-related costs and a lower volume growth environment. Regarding raw material costs, including the cost of tariffs, we continue to experience modest sequential raw material deflation in the fourth quarter. Capping a year where total raw material costs declined low single digits. Our teams remained agile in navigating dynamic markets, mitigating tariff costs through strategic sourcing adjustments, and the implementation of select pricing surcharges. Overall, including tariffs, our outlook is for relatively stable sequential material costs as we enter 2026. Shifting to Solutions Group, sales were up 1.3% organically. High-value categories performed well, up high single digits, with base solutions down mid-single digits. Driven by softer base apparel sales. Within high-value categories, VESCOM was up more than 10%, driven by the continued benefit from new program rollouts. Embellix was up high single digits driven partially by World Cup sales, intelligent label sales grew low single digits on lower apparel and general retail volumes. Now turning to enterprise-wide intelligent labels, sales expanded mid-single digits compared to the prior year. Growth was once again driven by food, logistics, and industrial categories, which were up high teens for the quarter and now represent approximately 30% of our total IL portfolio. Offsetting this strong momentum was the performance in apparel and general retail, which combined were down low single digits for the quarter. And these markets represent 70% of our intelligent label sales and continue to be impacted by tariff-related pressures. Solutions Group adjusted EBITDA margin was 17.8%, which was comparable to the prior year. As benefits from our continued productivity efforts and higher volume were offset by higher employee-related costs and ongoing growth investments. Now stepping back to look at our long-term financial performance, we remain focused on delivering strong results across cycles. Reflecting on our 2022 to 2025 targets, we delivered solid results despite multiple cyclical challenges by leveraging the strength of our portfolio. We successfully exceeded our top-line goals and performed well on our profitability targets. EBITDA margin ahead of our long-term objective. However, we did fall short of our adjusted EPS target, which came in at 7% ex-currency, trailing our 10% target, partially due to the impact of acquisition intangibles amortization. Additionally, ROTC, while in the top decile of our peers, finished at 15%, largely driven by the impacts of our acquisitions, including Taylor Adhesives, which closed in 2025. Turning to our 2023 to 2028 targets, we are currently in line or ahead on most of our targets. And as Dion mentioned, our focus is to shift our organic sales growth trajectory to achieve our targets for this cycle. Turning to our outlook. For 2026, we anticipate reported sales growth of 5% to 7%. Our guidance does not presume an improvement in external market conditions. This sales growth includes organic growth of zero to 2%, approximately 4% from currency translation, and approximately 1% from the Tiller Adhesives acquisition. We expect adjusted earnings per share to be in the range of $2.4 to $2.46, representing approximately 6% growth year over year at the midpoint. This earnings growth is driven by benefits of organic volume mix growth and productivity actions, which more than offset headwinds from wage inflation and growth investments. And the normalization of 2025 temporary savings, including incentive compensation, and a net benefit from combined currency share count interest, and tax. We've also outlined key contributing factors to our full-year 2026 on slide 14 of our supplemental materials. We expect an approximate $0.25 EPS benefit from the combination of favorable currency and a lower share count partially offset by higher adjusted tax rate and interest expense. We expect restructuring savings of approximately $50 million as we continue to execute our productivity playbook. And we expect the normalization of a majority of the 2025 temporary savings was largely related to lower incentive compensation costs. We remain committed to strong free cash flow, again targeting roughly 100% conversion, with fixed and IT capital spending of approximately $260 million. And we anticipate a sequential increase in earnings throughout the year, in line with our recent historical seasonal patterns. In summary, we delivered a solid fourth quarter achieving adjusted EPS of $2.45, which was up 3% compared to the prior year. And this capped off a year where we leveraged our proven playbook to protect bottom-line results. We generated over $700 million in full-year adjusted free cash flow, returned approximately $860 million to shareholders while maintaining a strong balance sheet. For the first quarter, we expect at the midpoint an improvement in organic sales and earnings, as we continue to deliver actions to increase the pace of our earnings growth, and we remain well prepared for a variety of macro scenarios. We're positioned to execute our profitable growth and disciplined capital allocation strategies to deliver superior, long-term value for our stakeholders. Now we'll open up the call for your questions.
Operator: Ladies and gentlemen, we will now begin the question and answer session. If you would like to ask a question, please raise your hand now using star one on your telephone keypad. If your question has been answered, and you would like to withdraw your registration, please press the pound key. To accommodate all participants, we ask that you please limit yourself to one question and then return to the queue if you have additional questions. Please stand by as we compile the Q&A roster. Our first question comes from George Staphos, Bank of America Securities Incorporated.
George Staphos: Good morning. Thanks for the details. Ian, Greg, Gilly. Good to talk with you. My question will be on materials. You called out a few things that made comparisons difficult this fourth quarter versus last fourth quarter. So we appreciate that. But I was wondering if you could parse a bit further the puts and takes, the pluses and minuses behind the 40 basis point drop in margin. It was a little bit worse than we were expecting. In that regard, the higher employee-related costs were, you know, we can guess at what that is, but if you could provide a bit more color. And last thing, was there any impact from higher raws in that number? I know you said there was deflation, particularly though around paper pricing and the like. Thank you.
Gregory Lovins: Thanks, George. This is Greg. So I think there is, of course, a number of factors. We talked about our base volumes were a bit soft in the quarter. And when we look at every year, we have wage inflation year over year, and we need a bit of volume growth to offset that wage inflation. When our base volumes are down, a lot of our productivity actions are going in to offset wage inflation and some of those headwinds. At the same time, we did have a little bit of small one-time items last year. Nothing major, but a couple of items that added up to a few cents were a headwind then year over year for us as we look at prior year Q4 2024 to Q4 2025. And then in addition to that, we did have the extra calendar days this year. And those were four extra calendar days that come with fixed costs for those days, but pretty soft shipping days because they're the days right before New Year. So the flow through on those is typically well below our average as well. So it's a number of impacts there. Now when I look at our sequential margins from Q3 to Q4, I think it's largely in line with our historical seasonality. Historically, we do see a 60 basis point or so drop in Q3 to Q4 margins in materials. Largely due to the holiday impacts as well as the mix of our VI labels in the fourth quarter versus the third quarter. And in addition to that, as I said, we have the calendar shift impacts in the quarter. So overall, pretty much in line with historical seasonality from a margin perspective. And year over year had some one-time items in the prior year that impacted the year-over-year comparison.
Operator: Your next question comes from Ghansham Panjabi, Robert W. Baird. Please proceed with your question.
Ghansham Panjabi: Yeah. Thanks, operator. Good morning, guys. Guess on intelligent labels, and the low single-digit growth during 2025, how are you at this point thinking about growth for 2026? And related to that, can you share your view on growth expectations for some of the other higher value categories, you know, VESCOM and Embellix, etcetera? And then, Dion, you know, on your decision to only give quarterly guidance for now, where do you lack specific visibility in the context of a portfolio that's relatively diverse both by business and geographically? What would need to change for you to kind of go back to that annual guidance construct?
Dion Stander: Gus, let me start with the first question on IL. We had low single digits in 2020 growth in 2025, and we're anticipating our growth rate in 2026 to be above what we delivered in 2025. In 2025, I'd say largely the biggest impact was on apparel and general merchandise. That really tightened tariff activity that was happening. And I still fundamentally continue to believe in the significant growth opportunities this platform has. Just to restate, and this is a 300 billion unit plus opportunity, $8 billion plus opportunity. And we're really at the nascent stage. And what gives me that level of confidence we're gonna continue to see that growth during 2026 and beyond is the fact that we are already seeing, as you've seen, more adoption in these individual segments. More apparel customers continue to adopt the technology as well as extend the use of the technology, for example, in loss prevention. We now have we're working through the planning and the execution as we go to the second half of the year. On the second grocery customer, which I think itself will be a significant inflection point for that segment. And then in logistics, we're gonna continue to really lean into more pilots, expanded pilots with a number of our other customers and with our large customer where we drove outsized growth in 2025 largely on our execution as some of the other competitors struggled and began some share. Anticipating that large customer has also provided, you know, lower output volume guidance in this year, and we're gonna factor it in. We'll see how that goes in logistics overall. As it relates to the other high-value categories, let me just reinforce again. For us, high-value categories are critical because they provide both a growth catalyst and acceleration for growth. Most of our high-value categories are typically high growth in our base business and have a typically high margin profile. So as we accelerate that portfolio mix, we're gonna get natural mix accretion both on our growth and on our margin profile as well. Typically, we expect Ghansham the majority of these high-value categories to be at kind of mid-single-digit plus. They vary by individual ones across materials and solutions. In VESCOM and Embellix, as you ask specifically, we're anticipating mid-single-digit growth, all things being equal, assuming no fundamental change in the environment, for those two categories as we continue to see new customers for VESCOM, the rollout of their Stallink software that really will enable, you know, install productivity, for the existing customer base. And then on Embellix, while we are up against the headwind related to World Cup last year, we also believe that depending on how the in-arena goes during World Cup, we could benefit from some of that as well. So we'll wait and see how that plays out overall. To your final question around, you know, quarterly guidance. I think Q4 demonstrated we continue to a very dynamic environment, which limits our visibility really on the market side of the growth piece. I just want to remind everybody over the last five years, we've seen a number of largely one-off cyclical events negatively, pandemic, inflation, supply chain destocking, tariff consequences. And as a short-term cycle business, it makes it having a long-term perspective during these types of events very challenging. I remain really confident, very high confidence in our strategies, the actions we're taking to drive growth and differentiation to deliver value creation. But I'm not planning for any macro tailwinds in 2026. And so for the foreseeable future, we're gonna continue to provide updates and outlooks on a quarterly basis.
Operator: Our next question comes from John McNulty, BMO Capital Markets. Please proceed with your question.
John McNulty: Yeah. Thanks very much for taking my question. And appreciate some of the color and the historical perspective around the high-value categories. Maybe digging into that a little bit more deeply, I guess, you help us to think about the margin differential for the high-value categories versus kind of the core. And also, has that shifted or changed much as we've progressed from, say, 2019 to 2025, either gotten higher, or has it contracted at all? How should we be thinking about that?
Gregory Lovins: Yeah. Thanks, John, for the question. I think, you know, we haven't talked specifically about margins by specific category. But in general, of course, as we talked about for a product category to be a high-value category, it's gotta have higher variable margins than the rest of the portfolio. And that's a big part of our focus there is as we grow faster in these high-value spaces, it allows us to continue expanding margins as well. So, typically, they are a number of points above our average, certainly above significantly above the base categories as well. When you go back and look over the last few years, you can see our gross profit margins over the last few years have gone up a couple of points. And a big part of that is this shift towards high-value categories that you can see on the slide that we laid out. In addition to the productivity actions and other things that we've been driving as well. But this shift towards more and more high-value category growth is definitely showing up in our gross profit margins as we've expanded those over the last few years.
Dion Stander: And, John, I'll just add that our high-value categories right across the business I think, really enable us to have a resilient portfolio. Allows us to pull multiple levers should things happen. I'll also say from a high-value category perspective, which you saw grow more than 6%, since 2019 on an organic basis, really resonates with customers because we're providing differentiation at the point that a solution or problem is being solved. These examples include, you know, what we do with adhesive tapes in the automotive industry, not just to bind things together, but for example, to provide additional noise and sound vibration dampening. So they provide utility beyond the simple application. That extends also then to some of the examples we coded in our intelligent labels platform where we brought new innovation, for example, in food to enable protein but extends also to other areas, for example, our materials group where we've really launched new innovation on our CleanFlake portfolio, which enables recyclability, not just historically on, for example, PPE for PE, but HDPE, now glass, other packaging as well. And so for us, a final constituent component of our high-value categories is the need for constant innovation outcome acceleration. Because that continues to bolster margins. Typically, when you bring a new product that's highly differentiated, we're able to extract more value from that because we create more value. And that's been a very big part of the focus over the last couple of years, and it will be so moving forward as well.
Operator: Our next question comes from Jeff Zekauskas, JPMorgan. Please proceed with your question.
Jeff Zekauskas: Thanks very much. Two-part question. Since you signed your agreement with Walmart, have you had more inquiries from other sellers of grocery items? And secondly, on slide 14, you talk about the majority of 2025 temp savings, including incentive comp, being a headwind. How large is that headwind?
Dion Stander: Yes, Jeff. I think the Walmart announcement with our partnership, I think, is added an additional catalyst to interest and inquiry within our pipeline. We've always known that bringing a digital identity to physical objects, particularly, for example, in the grocery space, will be able to allow you to reduce waste because you're able to manage your best before expiry date in a much better way. Reduce labor efficiency, reduce labor and increase efficiency that goes with it. And finally, also provide a better consumer experience. At the end of the day, freshness is one of the biggest drivers in net promoter score in the grocery environment. And the fresher items are, the more they're available, that typically grows as too bad in the ground. That's the basis of what Walmart's expansion with us on that. Since we've seen that announcement, our pipeline has actually grown with a number of other grocers or and or both on the bakery and protein side, continuing to approach us. This is both domestic in the United States as well as in Europe. And so I'm confident that as we go through this year, we're going to see more pilots and trials through that. I'm not anticipating another rollout during the start of this year, but certainly setting the framework and the groundwork for us to be able to do so as we move forward.
Gregory Lovins: Yeah. And on your second question, Jeff, those temporary savings, again, which is largely an incentive compensation, impact year over year, obviously, incentive comp in 2025 as we perform below our original expectations was a tailwind in '25 and will be a headwind in 2026. On an order of magnitude basis, probably pretty similar to the size of the restructuring actions. That $50 million that I highlighted there. Now on top of that restructuring, that isn't the only productivity we're driving. We continue to drive ongoing productivity all the time in terms of ELS savings, looking at reducing scrap, being more efficient in our operations. Dion touched on digital investments to continue to get more efficient in our G and A type of functions as well. And then in the prior year, we talked about in 2025 having some network-related to some of the tariff shifts of production in parts of our portfolio as well. So we would expect other productivity actions on top of that restructuring to help give us a benefit in 2026 versus '25.
Operator: Our next question comes from Josh Spector from UBS. Please proceed with your question.
Josh Spector: Yeah. Hi. Good morning. I wanted to ask on just the apparel market in general. I think the declines that you saw in the fourth quarter were more than we expected. And as you show in your appendix, the sell-out from apparel has been semi-resilient. Your volumes have been down. I guess, how are you thinking about the trajectory from here? I guess, our view is there's probably a tough comp in 1Q, then easier comps in 2Q. But you have a better ear to the ground on how, you know, apparel producers are gonna be producing and if that's gonna be a tailwind or not at this point.
Dion Stander: Yeah, Josh. Let me just spend a bit of time digging into that. You know, at the high level, I'd still say there's a high degree of tariff uncertainty. So while largely tariff rates seem to be in place, as you've seen, I think everybody has seen that can pretty dramatic change depending on what the administration decides to do with the broader tariff policy. And that can have an impact at any one point in time until these tariffs are actually formally ratified. That said, as we went into the fourth quarter, we anticipated to see the low single-digit apparel-based volumes. We actually saw greater than that, around about a 7% decline. I think a couple of factors played into that. I remember saying last time on this call that what we've seen is a change in the way apparel retailers have been managing their supply chains given this volatility and uncertainty. Historically, apparel retailers would typically place a season's orders 60% in advance and then typically chase 40 as this concern around how much tariff policy would impact end retail prices and the likely impact on consumer demand, they were starting to have less forward placing and chasing more. Our anticipation as we ended the third quarter, given what we saw during that sequentially during the quarter, was that that volume would slightly continue to do that. As we know now, it was a case of, I think, some of that volume in Q3 was in the anticipation of the holiday season, a slight stock up, but then they didn't chase as much volume as they went into the fourth quarter. I think focusing on what we've heard from our customers, focusing much more on protecting margins on overall lower volumes and not as much price discounting. The growth that you saw in retail is largely price-related. It's not necessarily unit-related. And that's also underpinned if you look at one of the attaching schedules we have. If you look at the images sales ratios, for example, in the United States, they're one of the lowest points ever since the pandemic as well. As we look forward, given that performance, I would anticipate seeing growth during this year, certainly not in the first quarter will be challenging because we lap against that non-tariff impacted first quarter 2024 '25. But as we move forward, all things being equal, we should see some growth. I caveat that only with I think there's going to be continued uncertainty and continued caution on our apparel retailers' part. They're gonna continue to watch how post-holiday consumer spending and the consumer sentiment relates to discretionary items like apparel. I think it's gonna be a watch and see the price impacts that they've had to put up on those garments overall. And so if that plays out with more volume, then we'll certainly be benefited by that. But I'm not yet certain that's gonna be the case, and we'll give an update when we get to the end of the first quarter and what we're seeing from apparel customers generally.
Operator: Our next question comes from Matt Roberts from Raymond James. Please proceed with your question.
Matt Roberts: Hey. Good morning, Dion, Greg, and Gilly. Could try to dig just a bit deeper into some of the non-apparel intelligent labels category. First, on general retail in 2025, I believe there were some positives in compliance rollouts at a major customer. Is that compliance enforcement coming back in 2026? Or are you expecting any incremental volumes from that customer with further category rollouts? And then on logistics, again, I know you talked to the major customer and their revenue outlooks and puts and takes there, but any benefit from them rolling out automation to further facilities, are you fully deployed there? And the pilots you mentioned in logistics, is that new pilots or expanding pilots that have already been in place? For taking the questions.
Dion Stander: Sure, Matt. Let me go through those sequentially. So in general retail, what we saw general retail impacted last year as we called out quite significantly by really the tariff environment. Most general merchandise was orientated out of China and the surrounding areas, and so there was quite a drop-off in demand, at least from retailers for that product as they were thinking through the supply chains. The second piece in this is because there was such difficulty in that, you know, you do sense that some of the compliance that was in those categories is probably held back a bit to make sure that could work through the supply chain issues. All things being equal, that should return and that should be partly a tailwind for us in that regard as we look forward. Again, that's with the caveat that we don't see any of the other changes on tariffs as we move forward. I think in terms of logistics, you know, we've seen the benefit that has come from automating effectively their last mile performance centers. And, Matt, we're actually fully automated across those over here. Now what we're in discussion with that particular customer around is how do they extend that to some of their international operations that's as we work through that during this year, and then the secondary piece is is there other opportunities they think about moving to what we call the first mile, the shipper side of it as well. In terms of the other pilots and trials, we're engaged in discussions. They have been piloting and trialing with almost every other major logistics company both in the United States and in Europe. And what we see this year is an expansion of some of those pilots being, you know, again, from a certain limited number of fulfillment centers, inbound fulfillment centers to a broader range also looking at different use cases they think through, for example, dangerous goods, managing, you know, highly valuable goods as well. So we'll keep you all updated on our anticipation of those pilots will expand as we go through the year.
Operator: Our next question comes from Anthony Pettinari from Citigroup. Please proceed with your question.
Anthony Pettinari: Good morning. Understanding you're not giving full-year guidance, is there a way to think about the quarterly cadence of the timing of the $50 million restructuring benefits throughout the year? And then I guess, well, the roll-off of the temporary benefit headwind that Jeff asked about, and then just guess, while I'm at it, you know, you talked about Walmart sales benefiting really in the second half of the year. Should we think of that as like a step up from 3Q to 4Q with kind of a strong exit rate into '27? Or is there anything you can say about, you know, the cadence of that rollout?
Gregory Lovins: Yes. Thanks, Anthony. So I think restructuring a good chunk of that, about two-thirds of that would be carryover of projects we executed at some point during 2025 or at least kicked off near the end of the year in 2025. So I would expect from that perspective, to be somewhat balanced across the year on that restructuring benefit. As we have carryover savings in the first part or first few quarters of the year, and then new programs kicking in as we move through the remainder of the year. So overall, largely balanced across the quarters. From a headwind perspective, I think when you look at incentive comp, you know, we're really starting to see bigger impacts on that, I would say, in the second quarter and beyond. There's a bit of a headwind in the first quarter, but I think that picks up a little bit as we go into the middle quarters of the year.
Dion Stander: Yeah, Anthony. On the Walmart question specifically, recall we said that the rollout if it took place over the next couple of years, '26 and '27, would be worth, you know, for us somewhere between low double digits to sorry. High single digits to low double digits in value for us based on our 2025 sale. Our working assumption has always been that we would start this roughly in the third quarter, ramp up in the fourth quarter and then continue accelerating during 2027 as you go through both the departments, this is, you know, bakery protein and deli, as well as geographically rolling out through the stores, and that's still our current working assumption.
Operator: Our next question comes from Mike Roxland of Truist Securities. Please proceed with your question.
Mike Roxland: Thank you, Dion, Greg, Gilly for taking my questions. Dion, can I Hey, guys? Yeah. In your comments, you mentioned not being happy with the organic growth and that you intend to drive better growth, especially in the high-value categories. Can you share what you started to do or what you're looking to do early this year? To drive that growth? And what type of incremental growth you're expecting in 2026 from higher growth in the high-value categories? And then just following up quickly on the apparel and general comments that you made about your confidence in getting in that accelerating. Are your customers telling you about their plans for 2026? And is it a matter of new adoption continuing to increase, or is it more related to existing customers extending their use?
Dion Stander: Thank you. Okay. Let me see if I can cover all those in Mike. Yeah. From a, you know, I'm not happy with the way our organic growth trajectory has been over the last couple of years. I know that we can and we've demonstrated this repeatedly, managed through any environment, and we demonstrated our ability to manage and deliver margin and earnings in that regard. But we fundamentally need to make sure that we're gonna continue to significantly outperform the market. And that's our focus as we've gone through the back end of last year into this year. And I touched on really four elements, I think that sorry, three elements that will really deliver on that. The first is clearly our high-value categories when they are able to solve customer issues, have an ability to accelerate growth. They typically deliver higher growth rates. And as Greg said, at higher margins. We're focused on making sure that a broader range of new customers understand the value they can bring, whether it's not tapes business, getting new tapes distributors and end customers, whether it's in apparel getting new loss prevention customers, whether it's in our materials business benefiting from our Cleanplate portfolio. Our focus there is generating new customers and also identifying new segments that we can move the technology. And food is just one example of that that we've done during the back end of last year and moving forward. So there's a focus on new customer acquisition for high-value categories. The second area for me is actually a more important one. It'd be less visible as we, you know, over the next of this near term, certainly more visible as we go longer term, which is accelerating our innovation outcome. So this is not just having more new products and solutions, but actually commercializing them quicker. And in that regard, I listed a whole number of those whether they are around our IL solutions, our digital the materials group, our ability to leverage our material science capability and our digital identification capability with the insights that we have through the supply chain, whether it's at retailer, at manufacturer, at converter, allows us to ultimately be able to really design more innovation at a quicker rate that solves problems for customers. And then the third element which I touched on was in addition, is can we leverage the progress we made in our own digital journey and the more automation we're putting into the business as well as our learnings that we've had over the last year or so and artificial intelligence and the use of that technology. And I see those actually being able to provide even more differentiation that we could then ultimately express in driving new customers and getting into new segments. I think the application of those three combined in different ways will allow us to, for example, drive more automation in some of our manual finishing that we currently have across our businesses. You know, automate finishing, automate packaging. A small example of that. Another example would be using AI and IoT sensors we apply them, to some of our large, for example, coating assets, we're able to make real-time in-line coat weight adjustments across the web, which allows for less downtime and then it would save us more money in that regard and that we're able to use to seek new customers as well. And then the third one really is we've actually started to use a lot more AI to shorten some of the innovation cycle. I'll give you a real example of that. It historically has taken us anywhere from eight to ten weeks to design a new inlay in intelligent labels. We built with a partner, a proprietary AI model that takes all of our learnings around the physics of designing inlays and what it takes now we're able to reduce that cycle down to roughly two weeks. That allows us to produce new products and new solutions much quicker than our previous capacity had the ability to do. And then finally, I think Greg touched on this as well. We're certainly taking all the learnings we're seeing both on automation and increasing on AI how do we actually leverage and automate some of the more manual tasks across our SG and A that our business. We've multiple examples. Now I will say we're at the start of the journey. In that regard from a particularly from the AI perspective. I think we've learned a lot over the last year or so I think has really allowed us to see the value that we can create. In addition, we've also recruited and added to our leadership, the chief digital officer, because I fundamentally believe that capability will also be an accelerant to the way we move forward. And to your second question around apparel and general retail, you know, the way I think about that overall is that we continue to see new apparel customers adopt IL. We went through this late stages of a rollout last the fourth quarter with a large power retailer. We continue to see significant interest in leveraging the technology just not just for inventory accuracy, but also for loss prevention. The work that we did were the proprietary work with, for example, the Inditex Group. And in addition, I continue to see a pipeline where we get new apparel customers continuing wanting to use. So overall, those rollouts, as I mentioned earlier, will part as we go through the year and ramp through the year well.
Operator: Our next question comes from the line of John Dunigan from Jefferies. Please proceed with your question.
John Dunigan: Thanks for all the information thus far. I wanted to start off with just looking at your inventory levels. I mean, you touched on some of your customers in response to Josh's question and how they're managing their inventories. But I noticed that inventories to sales ratios are elevated compared to where they were at pre-pandemic levels. So with the modest demand, at least starting off here in 2026, is there an ability to drive inventories lower to better match the current demand environment? And then just kind of building on that, you know, I noticed that you had stepped up your CapEx to about $260 million here in 2026. Wondering if that's more tied to growth projects, maybe some delayed maintenance since you pulled it down a little bit in '25 or cost savings initiatives. Just, you know, how that money is being spent would be helpful. Thanks.
Gregory Lovins: Sure. Thanks for the question. So if I look at our inventory turns over a few years, they've been fairly steady at least at the end of the year, with where we've been. I think part of what's happening across the businesses, we do have a little bit of a mix impact as we grow faster in the high-value categories. Typically, those categories are a bit more working capital intensive. And similar in emerging markets where we have a little bit higher working capital percents as well than we do in the US businesses, for instance. So, typically, we're seeing a little bit of upward pressure on working capital driven by the growth in those areas. Now we're driving a lot of productivity elsewhere to help offset that as we've gone across the years, and that's been a focus and we saw that even from the middle of this year think we talked about our working capital being a bit high and driving that down by the end of the year. And I think we did a good job delivering that. So we've got some kind of mixed pressure that we're offsetting through a number of initiatives there. Think when we look at CapEx, as you said, in 2025, it was $200 million. I will say there's another about $30 million of cloud technology-related investments that show up in the section of the cash flow statement. So it's about $230 million when you add to the rest of the CapEx for 2025. We pulled that down from our original guidance for 2025 as we saw the softer volumes. So we're increasing that a bit in 2026. Still, I think, below where it was a couple of years prior to that. But continuing to drive productivity initiatives as well as continue to prepare for capacity for the future as well.
Operator: Our next question comes from George Staphos from Bank of America Securities Inc. Please proceed with your question.
George Staphos: Dion, you mentioned, I think in answering Mike's question, in trying to accelerate innovation that you're trying to spend more if you will, capital at acquiring customers and getting them to try the products. Obviously, there's a mixed benefit from HVC, but do you see the customer acquisition cost being at such a rate over the next couple of years where it sort of dilutes the impact of HVC on your margin mix on a going forward basis, how should we think about that as a way to parse that at all? Separate question, just in general, paper supply any concerns on that for this year relative to the materials business? As capacity has been coming out of the market or you feel relatively with your supply position for 2026? Thanks, and good luck in the year.
Dion Stander: Thanks, George. Yes. Just on the sort of the customer acquisition costs, I don't anticipate and not expecting any increase in customer acquisition costs as we move forward. We already have go-to-market teams prepared and ready, and I argue that they've been somewhat underutilized as we went through the last year relative to volume. So as we step up in some of the learnings that we've taken, they've helped sharpen our mechanisms for customer acquisition, shorten the cycles for both proving our benefits, shorten the cycle for how we position and print. And then on the back of that, continue to leverage a little bit of automation to help improve that as well, George. So I'm not anticipating an increase in customer acquisition cost moving forward. Should have no real impact on margins. Second piece is to paper supply. We've continued to make progress in making sure following that significant supply chain disruption that we had a couple of years ago, that we are as appropriately balanced from a risk perspective in terms of paper supply overall. And so we have made sure that our supply, particularly as it relates to paper glassine and price stock, we have multiple sources that we can use largely geographically centered, but not exclusively. And we continue to make sure that what we've done in that regard with our procurement team, which is being we put a lot of focus over the last couple of years is making sure we've driven from some what transactional approach of the smaller supplies to much more strategic where we now have much more certainty about the capacity we have available to us. That we can call on as we need as well, George.
Operator: Our final question today comes from the line of John McNulty from BMO Capital Markets. Please proceed with your question.
John McNulty: Yeah. Thanks for taking my follow-up. In the past, it seems historically that pricing was pretty much used to offset raw material-related inflation. It seems like right now, your employee costs are kind of a new level of inflation that we really haven't seen before. And I know in the past, you've largely tried to offset that with efficiency. Do we get to a point if the inflation around employee cost continues the way that it has where you start trying to work that through as part of your pricing asks as well? And how should we think about that in 2026?
Gregory Lovins: Yeah. Thanks, John. So to your point, typically, our pricing is following our raw material input cost. And obviously, as we've talked about, as we've seen some deflation in 2025, we've had price down to go with that largely in sync with the deflation that we've seen there. And, really, we're continuing, or I guess I should say is we've also talked about with our material reengineering a period where we have an inflationary period, we use that to help offset the inflation in addition to price. A deflationary period, we're typically looking at that productivity from material reengineering help offset things like wage inflation as an example. So I think we look at that material reengineering as a bucket that helps over a cycle. In a flatter or more deflationary period to help offset some of those costs like wage inflation that come into the business.
Operator: Mister Gilchrist, there are no further questions at this time. I will now turn the call back to you for any closing remarks.
William Gilchrist: Thanks, Miriam. To wrap up, we navigated dynamic 2025 to deliver solid results. The fourth quarter and full year. Our focus and execution on our strategic priorities drive our confidence in returning to stronger growth and underscore our ability to deliver superior value across the cycle. Thank you all for joining today. This now concludes the call.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.